Operator: Please stand by. We’re about to begin. As a reminder, this call is being recorded. Please proceed.
Brent Turner: Good morning. I’m Brent Turner, President of Acadia Healthcare, and I’d like to welcome you to our first quarter 2015 conference call. To the extent any non-GAAP financial measure is discussed in today’s call, you may also find a reconciliation of that measure to the most directly comparable financial measure calculated according to GAAP on our website by following the Investor Relations link to Press Releases and viewing yesterday’s news release. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding Acadia’s expected quarterly and annual financial performance for 2015 and beyond. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. Without limiting the foregoing, the words believes, anticipates, plans, expects and similar expressions are intended to identify forward-looking statements. You are hereby cautioned that these statements may be affected by the important factors, among others, set forth in Acadia’s filings with the Securities and Exchange Commission and in the company’s first quarter news release. And consequently, actual operations and results may differ materially from the results discussed in the forward-looking statements. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, for opening remarks, I will now turn the conference over to our Chairman and Chief Executive Officer, Joey Jacobs.
Joey Jacobs: Good morning. In addition to Brent, I’m here today with our Chief Financial Officer, David Duckworth, and other members of our executive management team. David and I each have some brief remarks about the first quarter and our outlook for Acadia. Then we’ll open the line for your questions. The first quarter of 2015 was a strong one for Acadia with both our organic growth and acquisition strategies contributing to our profitable growth. Our revenue increased over 80% for the quarter, driving improved margins and growth in adjusted income from continuing operations of more than 90% compared to the first quarter of 2014. Adjusted EPS grew 53.6% for the first quarter which is our third consecutive quarter of growth in adjusted EPS of over 50%. Our growth primarily reflected the addition of approximately 4,200 beds to our operations in last 12 months along with 89 comprehensive treatment centers that serve almost 45,000 patients per day. Most of this growth resulted from our acquisitions strategy, particularly the PiC and CRC transactions. We are very pleased with the operating progress at PiC in the UK and the integration of CRC. These large transactions greatly diversified our services, payer mix and geographic presence. In addition with PiC being acquired on July 1st last year and CRC on February 11th this year, we are well positioned to continue producing significant growth in the quarters ahead. As we discussed with you on our last call we have also continued to evaluate additional acquisition transactions. Since that call, we announced the first quarter purchase of Quality Addiction Management which operates seven comprehensive treatment centers in Wisconsin that serve about 2,600 patients per day. In addition, we reported yesterday that so far in the second quarter we completed three acquisitions in the UK, Pastoral Healthcare; Choice Lifestyle and Vista Healthcare which include five facilities and 180 beds. With that there is acquisition pipelines across all our markets, we expect to announce additional transactions during the rest of 2015. Our first quarter financial performance also reflects strong execution of our organic growth strategy with same facility revenue growth of 8.5%. Patient days increased 9.9% for the quarter, primarily due to the addition of approximately 297 new beds to same facility base over the last 12 months. The revenue of these new beds produce generated additional operating leverage that help drive a 40-basis-point increase in same facility EBITDA margin for the quarter as well as a 200 basis point increase in consolidated adjusted EBITDA margin. Overall, we added 441 new beds over the past year, which includes the opening of a 90-bed de novo facility during the first quarter. We continue to expect that for full year of 2015, we will add more than 600 beds in the U.S., which includes 90 beds related to the de novo facility that opened in the first quarter and 120 beds from one more de novo scheduled to open later this year. Additionally, we opened one de novo CTC during the first quarter and plan to open three additional de novo CTCs in the remainder of 2015 as well as add more than a 100 beds to our existing UK facilities. In summary, we feel great about our results for the first quarter and about our ability to continue our momentum moving forward through 2015. As a result, we have increased our guidance for adjusted EPS for 2015 to a range of 211 to 215, which implies growth of 37% to 40% for 2015 compared with 2014. Thank you for your interest in Acadia. And now, here’s David Duckworth.
David Duckworth: Thanks, Joey, and good morning. Acadia’s first quarter revenue increased 81.6% to $356.8 million from $201.4 million for the first quarter of 2014. Adjusted income from continuing operations increased 93.5% to $27.1 million from $14 million and adjusted EPS for the first quarter of 2015 rose 53.6% to $0.43 from $0.28 for the first quarter of 2014. Our adjusted results exclude transaction related expenses of $18.4 and $1.6 million for the first quarters of 2015 and 2014, respectively and a $53,000 gain on foreign currency derivatives in the latest quarter. Weighted average shares outstanding increased 24.6% for the comparable quarters, primarily due to our public equity offering in June of 2014 and the CRC acquisitions. Acadia’s first quarter tax rate on adjusted income from continuing operations before income taxes was 31.5% for the first quarter of 2015 which is consistent with our expectation of 32% for full year 2015 compared with 37.4% for the first quarter of 2014. Same facility revenues increased 8.5% for the first quarter, reflecting a 9.9% increase in patient days and 1.2% decrease in revenue per patient day. Same facility EBITDA increased 40 basis points to 24.1% of same facility revenue for the first quarter of 2015 from 23.7% for the first quarter last year. Adjusted consolidated EBITDA rose 104% to $78.7 million from $39.3 million while adjusted consolidated EBITDA margin increased to 21.5% from 19.5%. As discussed in yesterday’s news release, we raised our 2015 guidance for adjusted earnings per diluted share to a range of $2.11 to $2.15 from the prior range of $2.03 to $2.10. Our financial guidance excludes the impact from any future acquisitions and transaction related expenses. This concludes our prepared remarks this morning. And thank you for being with us. I’ll now ask Levi to open the floor for your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from A.J. Rice with UBS.
A.J. Rice: The acquisitions in the UK, just wondering did those simply add capacity for you or do they broaden your service offerings in any way. Maybe give us a little perspective on those first.
Joey Jacobs: Sure A.J., this is Joey. They do both. They do obviously add a 180 bps to our capacity but they also will be filling out some of the continuum of care in certain markets and also give us a presence in certain markets where we were not there. So, they are good strategic fit for us and they do expand our care.
A.J. Rice: And maybe I should know this but what way do they broaden your service offering or your care?
Joey Jacobs: There are some secure beds in certain markets that we need and there is some of the lower end before they’d be discharged beds, the lower service demand beds in certain of the markets. So, it’s a good -- good acquisitions for us in the right places.
A.J. Rice: And then, maybe just a broader question, obviously you are sort of two months into the CRC transaction. Has that sort of trended as you expected so far, any surprises, either positive upside or challenges as you’ve gotten into it?
Joey Jacobs: It’s also the positive A.J. They have absolutely exceeded my expectations and the expectations that we had modeled in. Ron Fincher, our Chief Operating Officer and the two division presidents John Peloquin and Joe Procopio, have done a tremendous job and we’ve been welcomed throughout that company and the results even though they were only for about 50-day in the quarter, the results exceeded our expectations and we’ve seen those trends continue into April. So absolutely, similar to our PiC transaction which has outperformed our expectations, CRC is off to a good start. We are confident that I think we’d set the target of getting $7.5 million of synergies this first year; we’re on target to make that happen. So, it’s just been a great transaction. The team here, the infrastructure that we have here on the integration side throughout the company, it’s a lot of work but they’re rising to the occasion and so we’re very pleased with where we are with CRC.
Operator: We’ll go to our next question from Kevin Fischbeck with Bank of America, Merrill Lynch.
Joanna Gajuk: This is actually Joanna Gajuk filling in for Kevin today. Question on the quarter, in terms of the pricing which on a same store basis was down year-over-year. So, is it just due to comps or is there anything in particular you can point to in terms of what’s driving pricing trends there?
Joey Jacobs: It was up against the tough comp but more importantly, we have a lot of outpatient revenue with programs and with schools that due to the ice storms in the south probably took two weeks of that revenue out for us. So, it’s more of we didn’t get outpatient revenue due to the weather in the first quarter and it was on top of a tough comp. But we feel real good that it’s bouncing back this quarter and that weather has not been an issue. So that’s what our look at the results for the first quarter turned out to be.
Joanna Gajuk: And then in terms of pricing in the UK which I guess that we don’t have the year-over-year numbers but compared to fourth quarter and the full year number you disclose previously, so it sounds like it was sort of down too but I assume that is probably mostly exchange rate. Is that right?
Joey Jacobs: It’s exactly the change the exchange rate, I think we ended to the fourth quarter at $737 a day and then the first quarter was $706 that 4% decline was due to the exchange rate. So that’s correct. We will be adding some more of the transition beds in the UK which do have a lower revenue per day but it builds out the continuum of care. So we will be doing some of that this year but for the first quarter, it was just the exchange rate.
Joanna Gajuk: And on the UK, just staying on the growth business. So, the margins there that you disclosed 25.7%, so also we don’t have a year-over-year comparison but I guess the numbers for fourth quarter full year and the full year number we had was that the margins were down. So, is it also the way to think about the FX hitting that or is there something else or is this seasonality of the business?
Joey Jacobs: Quite frankly, it is the -- we are ramping up new beds and occurring operating office to bring these new beds on line. And so that took a little bit out of the margin over there in the UK but these beds will be becoming on line and be there for us for the foreseeable future. So we’re wanting to add, continue to add; our occupancy is in the 90% range there and we just got to add more same-store beds. And we absorb a little cost when that occurs. So that’s okay with us but the margins are going to hanging there around 26% I think.
Joanna Gajuk: That’s what I was looking for. So, 26% is the sort of the number to think about. And then just lastly, so just staying on the UK business. So any sort of view or color you can give us in terms of the outlook there for the NHS budget and reinvestment or anything going on that is worth noting?
Joey Jacobs: Nothing worth noting; the NHS budget has been done. There is a slight reduction in the secure facilities but it’s only in England. And then there are multiple contracts with the local principalities. We probably will see probably from pricing maybe a 1% reduction we had in our budget, a flat. But the NHS is behind us now and our folks over there are very confident that we can do very well with the pricing that we have.
Operator: Will go to our next question from Whit Mayo with Robert W. Baird.
Whit Mayo: Can you maybe go back and talk a little bit about the CTC development projects that you announced; I presume that’s a pretty low capital source of growth and maybe just walk us through the process of start to finish; is there licensing involved and then is there something you knew you were going to do going into the transaction or these projects that CRC had in place or something that you just simply see as an opportunity and accelerate it?
Joey Jacobs: They had these de novos on their won’t list. I think our acquisition spread is speeding up the timeline of bringing those on. We did open up one in the first quarter in the State of Virginia. And so there is a licensing; there is a process that you have to go through that takes some time. But once again, I think the CRC family being a part of Acadia now where they have more resources available to them that we will be able to improve the time on getting them from start to finish. And so we’re glad to have them; they fit nicely; we already have started identifying some for next year. So John is doing a great job, bringing those to us and they’re great operations pretty much need and the demand for this service is in some places is overwhelming.
Whit Mayo: Is there may be a rule of thumb to think about in terms of what the timeline is from start to finish and is there a capital number to think about it and then finally is there -- I don’t want to hold you to guidance or anything but is there maybe a number to think about for how many of these you think you could target each year?
Joey Jacobs: I think we can do 5 to 10 a year Whit. And it takes probably six to nine months to get into the process and capital whether we buy building which is going to be small or whether we lease a space, but capital here is not very intensive at all.
Whit Mayo: And maybe for David, just on the cash flow, I know that the first quarter is weak for a variety of reasons, working capital, et cetera. But is there anything to think about in the second quarter and can you share how much is out on your revolver after the UK transactions?
David Duckworth: We have a $180 million outstanding on our revolver as we stand today after closing the acquisitions in April. And we think first quarter is the quarter where we see a lower cash flow number but we do see that rebounding nicely in the second quarter, expect that cash flows from operations would be in the range of $50 million or so for the second quarter.
Whit Mayo: And one last one, I’ll just slide in just maybe just for Joey, CMS proposed a few weeks ago expanding parity to the Medicaid Managed Care next year populations. Just you know curious how you think about that and the potential for some of the changes to treatment limitations going forward? Thanks.
Brent Turner: This is Brent. I just think that’s continuing occurrence there across all payers, just the acceptability of the importance of parity; they’re just reiterating that the parity is not just for the commercial plans but also for the managed plans that cover the Medicaid and the Medicare Advantage lab. So again, we’re experiencing some real good momentum from legislative and regulatory standpoint. And I think that proposal is just further evidence of that.
Operator: Our next question comes from Paula Torch with Avondale Partners.
Paula Torch: I have a quick one on CRC. You did talk previously about I guess 25% or 30% of the beds that you acquired from CRC that are unoccupied right now as well as facilities that you see for expansion opportunities. So, I was just wondering what the near term focus would be for the next couple of quarters, is it a combination or do you expect to execute on your plans to grow census before adding additional capacity to that asset?
Joey Jacobs: Actually they have several facilities that need actual capacity expansions. And on the ones that had the unused beds, Ron and Joe have done a good job focusing on growing that. And the last time I looked, Paula, I think we’d already grown the census approximately 100 patients a day since the acquisition. So, it’s also a good start. So we’ll continue to do both throughout the year.
Paula Torch: And just anything from a regulatory standpoint that is happening that would possibly affect the CT business in any way. And I think there’s been a lot more chatter on the use of Suboxone as a treatment. I’m wondering if that were to be something that would be more favorable, could you replace your current CTCs with that sort of treatment.
Joey Jacobs: Nothing, it’s going to will be like -- I think for the next several years, it’s going to be a lot like it is today. Suboxone usage may go up a little but it’s going to be a lot like it is today seriously.
Paula Torch: And I just have a quick question on the beds that you are growing this year. First, of the 185 beds open in the first quarter, I think if I do my math correctly, about 56 of them were expansions and I think we talked about 400 for expansions in 2015. So, was the first quarter pace in line with your expectations and maybe how should we think about modeling it out for the rest of the year?
Joey Jacobs: You should keep it, the 400 number is a good number and you should take the 56 or 60 beds that we did in the first quarter and then I would just divide it by three and plug them in over the next three quarters.
Paula Torch: So, certainly double that amount as we move on?
Joey Jacobs: Yes.
Paula Torch: And I thought that we had talked last quarter about 295 beds from de novos and I think the update now is for maybe about 200 or so, if I did my math correctly. So, was there a project that got pushed out or perhaps there was something that I missed?
Joey Jacobs: There is a project out west out that it’s possible it could get opened in December but more than likely it will be January, February. So, it’s that close and we wanted to be conservative when we gave out this number but we do have a de novo project that’s right on the board line of being in the fourth quarter of this year or the first quarter of next year.
Operator: We’ll take our next question from Chris Rigg with Susquehanna Financial Group.
Chris Rigg: I just wanted to follow-up on the last question with regard to the CRC census being up 100 beds per day. I think you said there was 600 to 700 empty previously?
Joey Jacobs: Yes.
Chris Rigg: How much of the 600 to 700 do you think you can fill and is that -- whatever number you’re expecting, is that included in guidance for this year?
Joey Jacobs: It’s included in our guidance. The guidance is real time. But if we put another 100 to 200-patient growth for those empty beds, I would be extremely pleased. We’ve given ourselves somewhere between 24 to 30 months to get those back on line, get those filled. There will be some -- there will be a couple of places where we have too many beds and it’s just not feasible to get the occupancy there. But there is a great opportunity out there for us. So, once again, we’re giving ourselves 24 to 30 months to get 75% of those beds filled.
Chris Rigg: And just on the startup cost, I think the number previously was to $6 million to $7 million per year; is that still a good range and how much of that hit up in the first quarter?
Joey Jacobs: Approximately $1 million hit in the first quarter. And I think the $6 million -- it could be $5 million to $6 million I’m not going to change that today but we do know we spend about a $1 million in the first quarter.
Operator: We’ll go to our next question from Gary Lieberman with Wells Fargo.
Gary Lieberman: Can you make any comments on the occupancy rates in the UK? Another company mentioned that they’ve seen a pretty significant increase in their occupancy rates?
Joey Jacobs: We, Ron, and Joy Chamberlain over there who heads up our UK operations, they’ve done a fantastic job. Our occupancies are in the low 90s. We probably have grown it from for high 70s in the past nine months. So, Joy has done great job of going to census and that’s why we’re adding beds and that hurts our margin short term but we got to get these beds on line to continue to grow the business.
Gary Lieberman: And then maybe can you just remind us of target leverage ratios and where you see your ratio trending over time?
Joey Jacobs: We generally talk about operating, not much higher than the five times. We ended the first quarter at 5.1 times. And when you look at these tuck-in acquisitions that we’ve done even in the UK was de minimis. It barely took us up to 5.2. So as we continue to increase the EBITDA and get the benefit of acquired earnings, we’ll continue to be able to do incremental tack-on transactions and stay in this leverage level. The impact that would drive us any higher or have us look at the different structure is going to be a much more larger material transaction all at one time.
Gary Lieberman: But you don’t see the leverage ratio constraining you at all on sort of your growth expectations?
Joey Jacobs: Absolutely not.
Operator: Our next question comes from Darren Lehrich with Deutsche Bank.
Dana Nentin: Hi. Good morning. It’s Dana Nentin in for Dan. Just going back to the CRC deal, I was wondering if you could parse out revenue contribution in the quarter.
Joey Jacobs: I don’t have those numbers. So sorry, if I had I might have given to you.
Dana Nentin: No worries. Then looking at the same store length of stay, I think it was down 6.6% in the quarter. Just wondering if you could provide some color on what you saw there, seeing any state Medicaid pressures or is that still mostly a function of RTC acute conversions?
Joey Jacobs: Actually I can give a little detail here. Our RTC length of stay basically is flat and has been flat. It was the in 2014 for the first quarter, it was 190 days; for the first quarter of 2015 it’s 178.2 days. So it is basically flat. What we have seen is that we have two markets, one out west and one in south that the treatment of care were -- the industry average and our company’s average is around 10 days for acute services; they are running about 7 days. And I think that’s just the standard of care in those two cities. And they have had tremendous growth. I think their admission growth has been outstanding. And so that probably has played more of an impact on the length of stay decline. It’s just two markets where we’ve added new beds and new hospitals and the length of stay just happens to be in those markets just a little bit less than what it is through the country.
Dana Nentin: And then I guess just one quick housekeeping item. Can you give us a number of same-store facilities and beds at the end of the quarter?
David Duckworth: Dana, there is 52 facilities in our same facility group and just under 4,500 beds in that group.
Operator: And will got our next question from Charles Haff with Craig Hallum Capital Group.
Charles Haff: A question for you on the macro environment. Jeff Galler from the University of Massachusetts did a some testimony in front of their House Energy and Commerce Committee and he was citing the treatment efficacy centers, said that there is about 13 beds per 100,000 population and optimally we should be at about 50 beds per 100,000 population. Just wondering if you have any comments or thought in terms of that supply demand imbalance that they cited in front of the House Committee.
Joey Jacobs: First, I’ve heard about is you have given us this overview now, what you say is we would like to study if it goes from 13 to 50, we like it. We do see a lot of demand for the services and we do think that area will have a lot of same store growth and acquisition opportunities for us. And I think more of the general population as understanding that that treatment is out there. So that’s a positive but first time I’ve heard about that testimony was right now.
Charles Haff: Are there large geographies in the United States that you see dramatic under bedding versus others?
Joey Jacobs: I don’t have an answer for that.
Charles Haff: Okay.
Joey Jacobs: I haven’t given it any thought. I haven’t given it any thought.
Charles Haff: No worries. And then, a question for you on the pricing environment for acquisitions and just kind of the general color. Do you see more willing buyers out there than you did, say a year ago? Or can you comment about kind of the pricing environment and where you see the multiples today either you know on the acute side or on the treatment center side?
Joey Jacobs: I think overall the multiples are going to hopefully be around an 8 times trailing but that varies per acquisition. So, are there more buyers, are there more people looking, sure; as we have been successful, the want to be Acadia. So, to do that they have to start with their first facility. But that’s okay. Steve Davis and he heads up our development activities and all of senior management is involved. Our pipeline is very strong and we don’t -- we think multiples would be pretty steady and we think there is plenty of opportunities for us.
Charles Haff: And then last question on pricing. I wondered if you could kind of break out where you think commercial pricing is today for your portfolio and maybe Medicare, Medicaid, private pay pricing?
Joey Jacobs: On the commercial side, it’s in the 4% to 6% range. Medicare, we now know this year, I think we’ve got slightly over 2% raise until October the 1st and then on October 1st I think we’re getting about 1.6% raise. So, we know pretty much what Medicare is doing. The state budgets are getting done right now and many of those have July 1 or October 1 date. If we can get a 1%, maybe 2% from the state, that would be great for us. Now, on our specialty facilities, we’re able to get a little bit better pricing there because it is more self pay in commercial. And so we will be able to on that book of business, do better because we do not take pretty much Medicare and Medicaid in those facilities.
Charles Haff: So, that may be like a mid single digit or upper single digit?
Joey Jacobs: Mid single.
Operator: We’ll go to our next question from Frank Morgan with RBC Capital Markets.
Frank Morgan: A lot of discussion around top line but I’m just curious, could you kind of walk through your expense lines and then you talk about what you are seeing trends there particularly on the wage labor side?
Joey Jacobs: Frank, we’re still living with the 2% to 3% at the local level and that there is really not any shortages of personnel that we see impacting any of our facilities. Occasionally a facility will have a temporary need for people and we can find those. So, salary and wages and benefits, we think our revenues will outpace their growth. So we do still continue want to see margin improvement for the company. And I think we can do that as we drive the revenue and just slightly increase our productivity. So, if we can do those two things that’s all we need. And we will give reasonable raises to our employees. And we have no one market that is -- no one market is trying to be more aggressive there than what the country as a whole is doing.
Frank Morgan: One more now, just any general thoughts on the proposed site rule that came out I guess last Friday?
Joey Jacobs: Not really, we got a rate increase from that ruling. We know that there is some quality things there. As Brent mentioned earlier, the reinforcement of the parity throughout the system. On the regulatory side, it’s all positive for our industry and so we see that continuing.
Operator: We’ll go to our next question from Dana Hambly with Stephens Research.
Dana Hambly: Joey, just back on the same market average length of stay being down, you mentioned two markets. Is that something that is new or is that just a couple of new marks rolling into the same store facilities?
Joey Jacobs: It’s always been there but they’ve had new beds, they’ve had -- we’ve expanded those facilities significantly and actually opened up a new facility on one of those markets. So they do very well financially but they just come with a little bit lower length of stay than the rest of the country.
Dana Hambly: So, those markets just grown a little faster than the rest of the same store portfolio.
Joey Jacobs: They’ve grown very fast.
Dana Hambly: And then, could you give an update on what’s going on in the UK behavioral market with the care pathways and the kind of what stage are we there or innings if that’s an easier analogy and any lessons learned there that you can import?
Joey Jacobs: I think we’re in the third inning. I think what you’ve us seen with our acquisitions and with the team’s guidance from the UK is we’re filling out the continuum of care for our facility and that makes us much more attractive to the NHS, so that they can put a patient with us and the patient can go all the way through the continuum of care. So, I would say, we’re in the third inning. For the country, for the UK, I would think that Julie and her team are well ahead of that about planning and working with the NHS about providing the continuum of care.
Dana Hambly: And then, last one for me, David, just on the CapEx in the quarter at around $53 million, could you say what part of that was routine?
David Duckworth: We had 9 million of that was routine, so 2.5% of our revenue. And we did see slightly higher expansion CapEx just due to the de novos that came on line during the quarter or will come on line later in the year.
Operator: And we’ll take our next question from Brian Tanquilut with Jefferies.
Brian Tanquilut: Joey, just to follow-up on Dan’s question, as we look at the UK landscape, you’ve been there almost a year now, what are you seeing in the market in terms of -- obviously you’ve done two acquisitions but in terms of the dynamics and the M&A landscape, one? And then second, the pricing expectations going forward, how should we think about them in the UK?
Joey Jacobs: I think it’s going to be very similar to what we’ve done that the pricing for the facilities will be very similar to the transactions that we’ve just completed and I think there is a lot of opportunity there.
Brian Tanquilut: And then, you’ve been at CRC for a few months now so, just in terms of what you are seeing from kind of a turnaround opportunity or the progress that you’ve made in reigniting growth at CRC, if you don’t mind just giving us some descriptions on what you’ve seen so far being there inside CRC?
Joey Jacobs: I think you see it in that we exceeded our earnings for the quarter and part of that was CRC. I think you will just have to wait till the second quarter comes out, we’ll see the second quarter results for CRC. We’re very pleased; they’re off to a great start, both on growing their patients and visits, and revenues, and their margins. So, they’re ahead of plan for us.
Brian Tanquilut: And then, last question for me, Joey, as it relates to addiction, obviously it’s kind of a new area for you guys and you’ve already done one acquisition after CRC in that space. How do you see that as a driver of growth going forward? How do you size that opportunity and what kind of pace should I expect or should we think about your push into the addiction area of behavioral health?
Joey Jacobs: Right now there is a lot of activity in the addiction area; we’re going to be very careful on the facilities and the transactions that we do. But the most recent one that we did other than CRC is the one in Wisconsin. And we would do those everyday if those were presented to us. It’s a great transaction. And if there is more Sierra Tucsons out there for us to buy, we’re going to make those type of acquisitions. So, it’s going to be a good year for 2015 for all of the company. But it actually might grow a little bit faster.
Operator: And that concludes today’s question-and-answer session. At this time, I would like to turn the conference back to Mr. Joey Jacobs for any additional or closing remarks.
Joey Jacobs: Thank you all very much. Just want to give a shot out to our -- I made a visit this week to our new facility that will be coming on line in the third quarter. Everything is looking good there. It’s 120-bed acute hospital. And so, we’re very pleased with that. We are extremely excited about our acquisition up in Wisconsin and Dr. Goldstone there and what we’re doing with it. So, just had a great quarter and thank you for your interest in Acadia.
Operator: That concludes today’s conference. We appreciate your participation.